Martin Sorrell: Thank you very much, operator. Third quarter trading update for WPP, we did a presentation earlier this morning, which was also webcast to U.K. investors and analysts, and I'll be doing it this afternoon with people on the other side of the Atlantic. I -- we've got a lengthy presentation which has been posted on the website, which I hope you all have. Paul will deal with the first 2/3 of it, and I'll come back for the last 1/3. 
 So Paul, over to you. 
Paul Richardson: Okay. Good morning, good afternoon, everybody. So for the third quarter, I'm on Slide 4, hopefully, with the same slide as the web. So in the third quarter, we have reported revenue growth of 5.9% with like-for-like revenue growth of 4.6%, 3.3% growth from acquisitions and minus 2% from currency. On a net sales basis, reported growth is 4.2%, with like-for-like growth of 3.3%, 2.8% growth from acquisitions and minus 1.9% from currency. 
 The reported 9-month headline operating profit margin was up 0.3 margin points and up 0.5 margin points on a constant-currency basis. The constant-currency revenues and net sales growth was in all regions and all business sectors, and we had net new business of just over $3 billion in the third quarter, making it just over $5 billion for the 9 months, resulting in the 9 -- in the #1 position of all net new business tables. 
 So to summarize our growth rate, on Page 5, we've done it both for revenues and for net sales and take you down the left-hand column. So quarter 3 like-for-like revenue growth was 4.6, acquisitions added 3.3. So constant-currency growth in revenues for the third quarter was 7.9%, foreign exchange was minus 2%. Hence, reported sterling revenue growth for the quarter was 5.9%. If we had been a dollar-reporting company, this would have been minus 1.6%. If we had been a euro-reporting company, the growth would have been 17%. And if we had been a yen-reporting company, the growth would have been 15.4%. 
 Likewise, I've done the same on the net sales. On the right-hand column showing the like-for-like growth in the quarter, 3.3% translates to reported growth of 4.2%, and on the year-to-date basis, the like-for-like growth of 2.6% translates into a reported growth of 4.9% in sterling. 
 On Slide 6, we take you through the revenues in net sales for the disciplines or the sectors for the third quarter. So 45% of our revenues, the GBP 1.3 billion, were in advertising, media investment management, which showed like-for-like growth in revenues of 7.2% for the quarter and in net sales, growth of 3.7% for the quarter. This was up on the second quarter net sales like-for-like growth of 2.7%. 
 The data investment management, which represented 20% of our revenue, the GBP 584 million in the quarter, was down 1% on a like-for-like basis on revenues and was flat on a net sales basis on a like-for-like basis, similar to the quarter 2 net sales, which is down slightly in quarter 2. 
 Public relations and public affairs, which is 8% of our revenues, the GBP 229 million, had like-for-like revenue growth in the quarter of 4.1% and like-for-like net sales growth of 4.5%, significantly up on a quarter 2 like-for-like net sales growth of 1.9%. 
 Branding & identity, health care and specialist communications, which is representing 27% of the group's revenue at GBP 803 million of revenues in the quarter had revenues up like-for-like, 5.1%, net sales up 4.3%, again, an improvement on the quarter 2 net sales growth of 3.2%.  
 So overall, the group had revenues in the quarter of GBP 2.9 billion, up 4.6% on a like-for-like basis; had net sales of GBP 2.5 billion, up 3.3% on a like-for-like basis; and improvement over quarter 2 net sales growth of 2.1%.  
 Turning to Slide 7. We look on the same basis on a year-to-date and 9 months. So advertising, media investment management, which had revenues of GBP 3.9 billion, and you can see here that their revenue growth was 8.5% in the quarter, whereas our net sales growth, when adjusted, was 3.4% on net sales compared to the first half, which is 3.2%. So still a very significant difference remains between our revenue growth on a reported basis like-for-like and our net sales growth in the advertising, media investment management discipline.  
 In data investment management, GBP 1.7 billion of revenues after 9 months, is basically down 0.8% like-for-like and flat on a net sales basis year-to-date. 
 Public relations and public affairs at GBP 687 million of revenues after 9 months, growing at 2.2% on a revenue basis, 2.5% on a net sales basis, up from the first half run rates of 1.6% on net sales. 
 Branding and identity, health care and specialist communications, GBP 2.3 billion of revenues year-to-date, growing at 4%; on a like-for-like basis, net sales growing at 3.1%, again, an improvement on the first half run rate of 2.4%. 
 So overall, GBP 8.8 billion of revenues for the 9 months, growing at 4.8% on a like-for-like revenue basis, growing at 2.6% on a net sales basis, again, an improvement on the first half run rate of 2.3%.  
 So some commentary now about each of the disciplines and each of the sectors on Slide 8 going forward. So the advertising, media investment management sector was the strongest, with like-for-like revenue growth of 7.2% and like-for-like net sales growth of 3.7%. 
 Advertising remains the toughest in the mature markets. Ogilvy was up in the U.K., Western Continental Europe and Eastern Europe. And J. Walter Thompson Company performed well in Asia Pacific and Latin America. And also Grey was up in North America. 
 The media investment management business remains very strong, with like-for-like revenue and net sales up double digits, and even a stronger net sales growth in North America, Western Continental Europe, Eastern Europe and Africa.  
 Advertising acquisitions of Jüssi, an online performance agency in Brazil; and nudeJEH, an advertising and digital agency in Thailand; and Webling, a digital agency in Australia.  
 Turning to page 9 on data investment management, which had a revenue up [ph] 1.76 year-to-date, had constant-currency net sales up 5.8% and a like-for-like basis was flat. There was net sales growth in North America, Western Continental Europe and Central and Eastern Europe and Latin America. And strong performances came through from Kantar Media, Kantar Retail, Kantar Worldpanel and Kantar Indian Market Research Bureau all performing strongly. 
 In the quarter, we had an acquisition of BISciences, the data analytics business in Israel and the U.S.A. I think the summary overall is the custom business, in particular, still remains challenging for the Kantar businesses on a global basis. 
 Turning now to public relations and public affairs. We saw like-for-like revenue growth of up 4.1% and the strongest like-for-like net sales growth in the quarter, up 4.5%. All regions grew revenue and net sales, with United Kingdom and Latin America up double digit and strong growth in Asia Pacific. Also, strong performance from Cohn & Wolfe, Finsbury in U.K., Hering Schuppener in Germany and Ogilvy Government Relations in the U.S.A., particularly strong growth in social media content development in the U.S.A. through SJR. 
 The acquisitions of Ideal Group in Brazil, Nicole Weber Communications in Germany and Six Degrees PR in India were also completed during the quarter.
 On branding and identity, health care and specialist communications, which has revenues around GBP 2.4 billion year-to-date, saw constant-currency revenue growth up 7.6% and net sales up 7.8%. On a like-for-like basis, revenue growth was 5.1% and net sales growth of 4.3%.  
 Growth in the group's direct, digital and interactive and health care businesses was good, but branding and identity remains more challenged. The specialist communications business grew above the group average of 4.3% for the quarter. The acquisition of OptimizeRx, an e-distribution of health care sample voucher company, was completed in the U.S.A. during the quarter. 
 In one of our subsectors, direct, digital and interactive, for the first 9 months, it had revenues of GBP 5.2 billion or over 30% of the group's total revenue compared to GBP 4.7 billion or 36% of the group a year ago. This was up 9.8% in constant currency and up 6.9% in like-for-like revenues. When converted into net sales, it was up in -- for the year-to-date, up 5.3%. Having trended at 4.2% net sales in the first half, we've had a good acceleration in direct, digital and interactive like-for-like net sales, growing at approximately 7.5% in quarter 3. The number of people working in the group in this subsector is almost 40,000 or approximately 31% of the headcount. And in the quarter, we acquired ABS Creative, a digital marketing communications agency in Belgium.
 Turning now to Slide 13. Looking at the sectors or the geography by the 4 regions. First off, North America, which is 37% of the revenues of just over GBP 1,091,000,000, growing like-for-like revenues at 6.8%, like-for-like net sales in the quarter of 3.7%, following quarter 2 net sales of 3.5%. The U.K., which represents 15% of our business, was growing at 1% -- 1.1% like-for-like revenue or 2% on net sales, similar to quarter 2, 2.2% also. In Western Continental Europe, which is GBP 552 million of revenues in the quarter, representing 9% -- 19% of the group, revenues were up 6.1% on a like-for-like basis and net sales up 4.6% in the quarter, again, a considerable improvement on the Q2 rate of 2%. Good performance is coming through in Austria, Belgium, France, Germany, Holland, Spain and Turkey, just to name a few. And in terms of Asia Pacific, Latin America, Africa and Middle East and Central Eastern Europe, revenues of GBP 849 million in the quarter, representing 29% of the revenue, up 2.9% on a revenue basis, up 2.4% on a net sales basis, a tick-up from the Q2 rate, which was just under 1% due to relative improvements in the Central and Middle East -- the Central and Eastern Europe and the Middle Eastern regions. So overall, revenues at GBP 2.9 billion for the quarter, on a like-for-like basis, up 4.6%, and on a net sales basis, up 3.3%, an improvement on the Q2 net sales growth of 2.1%.  
 Looking at year-to-date, on the same data. You can see here North America at revenue growth for 9 months of 6.2%, like-for-like net sales of 3.1%, a tick-up on the half 1 measure at 2.8%. The United Kingdom had net revenue like-for-like revenue growth of 4.5% for the 9 months, net sales growth of 2.6% for the 9 months, very consistent with the first half growth of 2.8%. Western Continental Europe, which had 4.5% revenue growth for the 9 months, 2.3% growth on a net sales basis, up from 1.2% reported in the first half on the same basis.  
 And finally, in Asia Pacific, Latin America, Africa and the Middle East and Central Eastern Europe, revenues were up 3.4% year-to-date on a like-for-like basis. They were up 2.3% year-to-date on a like-for-like net sales basis, consistent with the first half, which was up 2.2%. 
 Turning now to some analysis of the quarterly revenue and net sales run rate. It's on Slide 15. I think if you look through these pages, you'll see there is a certain degree of volatility between the 4 quarters. So for example, last year in 2014, quarter one, on a net sales basis, was 3.8%. Quarter 2 was 4.4%. Quarter 3 was 3%, and quarter 4 was 2.1%. So obviously, one of the reasons for the better growth with the acceleration in growth in quarter 3 this year was the weaker comparative in quarter 3 of last year, meaning our growth accelerated from the 2.1% in quarter 2 to the 3.3%. However, when you combine the 2 years, so, for example, if we look at the first quarter 2014 and first quarter of 2015, the 3.8% and 2.5%, you get a 2-year total of 6.3%. And in the last rolling 4 quarters, it's been consistently 6.4%, 6.3%, 6.5%, 6.3%. So I think it gives you a better indication of the 2-year run rate, and I doubt to a certain degree the unevenness of the quarter-to-quarter comparison trends. So this analysis is consistent both on a revenue basis, where we've seen the trend on a 2-year basis between 12% and 14% or a net sales basis on a 2-year trending of between 6% and 7%. I think it's quite helpful to help people iron out the quarter-on-quarter comparative issue and the peaks and the troughs in the like-for-like movement from quarter 2 to quarter 3 to quarter 4. 
 So turning now to Slide 16. We've done the geographic on the 9 subregions in 2 measures, first, on revenues; and secondly, on net sales. So briefly, on revenues because, again, it is impacted by the strength of our digital businesses in various parts of the world, and you can see here on a year-to-date basis, we've had a revenue growth of 4.8% overall. In the mature markets, it's been 5.4% where some of our digital businesses are very strong. In the faster-growing markets, overall, it's been 3.4% year-to-date. In North America, in the quarter, we were strong where we saw revenue growth of 6.8%. In Western Continental Europe, we were also strong where we saw revenue growth of 6.1%. In Latin America, we were solid with growth of 4.2%. And the Middle East, a bit of recovery came through at 10.6%. And you'll also notice here, in Central Eastern Europe, we went from negative at the first half and despite growing 3% of revenues, it is still negative but less so after 9 months. 
 If I focus now on the net sales version of the slide, on Slide 17, you can look -- we have the top numbers of the third quarter by themselves. So for example, the quarter 3 performance in North America on like-for-like net sales is 3.7%, and the year-to-date for North America was 3.1%. So you can see here strong performances in the third quarter coming through North America, in Latin America at 5.7%; in Western Continental Europe at 4.6%; in Africa at 6.4%; in the Middle East at 8.2% for the quarter; and finally, in Central and Eastern Europe, around 4% for the quarter. Weakness still continues in Asia Pacific. You saw it basically flat in the quarter and up 2% for the year. In the ANZ region, and obviously, at 2.2% or 2.6% in the U.K., it's slightly less than what we're seeing in North America and Western Continental Europe in the quarter. 
 Turning now to the top 6 markets on Slide 18. These represent about 2/3 of revenues and net sales. And on a like-for-like revenue basis, the growth is over 5%; and on a net sales basis, 2.6%. And you can still see here in each of the countries, there is still significant difference in revenue and net sales despite everything now being reported on a completely consistent like-for-like basis for both '14 and 2015. So the revenues year-to-date in North America are up 6.2% and in net sales, up 3.3% on net sales, an improving trend over the last 2 years. 
 U.K. revenues year-to-date are up 4.5%; net sales, 2.6%, still very respectable but a bit less than they were a year ago when net sales were up 4.8%. 
 In Greater China, we have revenues up 1.2% in Greater China, which includes Hong Kong and Taiwan; and on Mainland China, just a footnote, we're up 1.5% on revenues and basically up 0.3% on net sales in Greater China or 0.5% on the mainland basis. 
 In Germany, we can see the improvement continues on a revenue basis growing at 9% for year-to-date; on a net sales basis growing at 4.5% and it still remains challenging in both ANZ and the France -- and France for 2015 for us. 
 In terms of the BRIC markets on Slide 19, which represent over 12% of our revenues, we have like-for-like revenue growth of 2.6% and net sales growth of 1.2%. We've gone through the China numbers earlier. Brazil, which was better in the quarter, but it's basically flat year-to-date but up minus 0.6% on a net sales basis or minus 1.5% on a revenue basis. India remains very strong, with revenues up 17% year-to-date or 10.2% on a net sales basis. And despite Russia still being negative at 6.5% of revenues or 6.2% of net sales, it was down 14% at the half year and, in quarter 3, was actually up 9%. So the negative after the 9 months is a better figure of minus 6.2% than the half-year number of minus 14%.  
 So in terms of Slide 20, some comments about each of the regions of Western Continental Europe, so constant-currency net sales growth of 4.5%. The region was the strongest like-for-like growth of 4.6% compared to 1.2% in the first half. As I mentioned, Austria, Belgium, Germany, Holland, Spain and Turkey was strong in the quarter; and Greece and Switzerland were more challenging. 
 In North America, we saw constant-currency net sales growth of 5% and like-for-like growth of 3.7% stronger than the first half. Advertising and media investment management; direct, digital and interactive; and health care performed well. In Asia Pacific, Latin America, Africa, Middle East, and Central and Eastern Europe, the region was the strongest constant-currency net sales growth, driven by our acquisition strategy. So like-for-like growth of 2.4%, stronger than the first half and an improvement over the second quarter.  
 In the U.K., the region with the second strongest constant-currency net sales growth of 7.1% and like-for-like growth of 2.2%. Advertising and media investment management; public relations and public affairs; and direct, digital and interactive performed strongly. 
 So now on Slide 21, we just take the revenues only, not net sales, for the third quarter and bands by performance the top 20 or so markets, how they performed. You can see there the top banding in Argentina, which is actually a variable 20%, obviously partly driven by inflation. Germany in band 2, with Mexico at 10% to 20% growth. And then a good number of European markets in the 5% to 10% banding, including Belgium, the Netherlands, Russia, Spain, Turkey, and also including South Africa and the U.S.A.  
 In terms of revenue growth by category, although a very good growth coming out of the media and entertainment, it's not one of our largest categories. So there's nothing that meaningful to say about the rest of the banding on this page. 
 On 23, the effects of currency. The currency movements accounted for 2% decrease in reported revenues and almost the same on a net sales basis, reflecting the overall strength of the pound sterling against most currencies, partially offset against the weakness against the U.S. dollar. And you can see on the table here, where sterling was weaker by 7% against the dollar and 5% against the Chinese renminbi but was 10% stronger against the euro, 44% stronger against the Brazilian real, 20% almost stronger than the Australian dollar and 62% stronger than the ruble, hence, the impact of the strength, the sterling and the effects on our foreign currency. 
 So if you look at Slide 24, I think at the end of last year, you'll recall that foreign exchange and the strength of the pound impacted us to the tune of minus 6% on both revenue and net sales. In quarter 1, we got off to a good start, with currency being positive about 1%. In quarter 2, it was flat, net effect of 0 net effect on the group. In quarter 3, we were basically down 2% as we just reported, and in quarter 4, we expect to be around minus 3%. So on a full year impact, we're still now projecting to be as we were at the half year, minus 1% to minus 2% on both revenues and net sales as a result of foreign currencies. 
 I'm now turning on Page 25 to the trade estimates of major new business wins. So we try and record everything we see in the trade press, and we have done 2 things. One, we have highlighted those wins and losses in the third quarter in the bluish or the darker shading. And also, we have identified which accounts we believe are part of the media tsunami that got reported earlier in the year. I'm pleased to report we've had 2 successful wins. One is General Mills in the U.S.A. by Mindshare reported the quarter and likewise, the GroupM wins the GSK Consumer Healthcare also reported. The third of the tsunamis as we mentioned -- or the media tsunami clients, we won the Suntory. You can see they're in Team Spark. And also, I'm pleased that we won some creative work through JWT and Wunderman with the Kellogg's -- one of the Kellogg's brands globally. 
 If I turn now to Page 26, obviously, it's the full history of both all those wins won year-to-date and those continued to be shaded, the third quarter additions to the group. 
 Likewise, in Page 27, I won't go through them all, but we've had one loss where we were the majority incumbent in the media business on Citibank, where we lost the Publicis as part of the media tsunamis and others that have all been reported in the trade press during this quarter. 
 In terms of our internal estimates and net new business wins, we had a strong quarter, with billings up $3 billion in the quarter, $1 billion from creative and $2 billion from media. When I add that to the first half, we totaled $5.1 billion of net new business won year-to-date this year, which actually is still slightly behind where we were a year ago at $5.7 billion. 
 In terms of wins since the first of October, we're pleased to see that we've actually now picked up the rest of the European, Asia-Pacific businesses of General Mills, as part of the media win we had in the third quarter. And we've also picked up the MetLife business through MEC in the, well, beginning of the fourth quarter.  
 Moving forward now to the cash flow and net debt. So we have the average net debt for September year-to-date at GBP 3.4 billion, up GBP 400 million, higher than a year ago, with just over GBP 3 billion at constant exchange rates. And net acquisitions, including earn-outs at September year-to-date or the 9 months at GBP 559 million, was up significantly on GBP 214 million where we spent GBP 341 million in share buybacks this year. Although both years, year-to-date, we spent -- have acquired 3% of the shared capital. This year, it has cost us GBP 588 million. Last year, after 9 months and buying in 3% of the shared capital, it cost us GBP 499 million. So net debt as at 30 September was at GBP 4.147 billion, up GBP 718 million compared to 3.4 to GBP 9 billion last year at constant exchange rates, reflecting incremental spend on the share buyback and acquisitions, more than offsetting the working capital improvement. The average net debt to headline EBITDA for the 12 months ending 30 September 2015 remains at near the midpoint of our target range of 1.5x to 2x. 
 Turning now to Slide 31 of acquisitions. We've had 38 transactions in the quarter -- sorry, in the year-to-date, of which 13 have been in the faster-growth markets, 27 have been in quantitative and digital and 7 have overlapped, both in the faster-growth markets and in quantitative and digital. And in addition, we've had 5 acquisitions in the advertising, branding and identity, health care and public relations business. This is all noted here. Those that are in capitals and in red, if you can see it, are those that have been acquired in the third quarter. 
 So the uses of free cash flow on Page 32, as you know, we target around GBP 300 million to GBP 400 million to spend on small to medium-sized acquisitions in any one year. At the start of the year, we have made commitments to the purchase of IBOPE and comScore, which totaled GBP 355 million. They're noted in footnote 2. So in terms of small to medium-sized deals so far this year, we spent GBP 204 million and, when added to the GBP 355 million, makes the total of GBP 559 million for the year compared to a year ago, around GBP 341 million. 
 As I mentioned earlier, we bought in 3% of share capital at the top of our stated range of buying in 2% to 3% after 9 months as we did last year after 9 months buying in at 3%. And on dividend payout ratios, last year's payout ratio of 45% we achieved in 2014. We are targeting a 50% payout ratio, probably to be achieved by 2016, and we rebalanced our dividends to have a greater interim dividend in the first half, hence, the 36.9% improvement in the interim dividend. 
 So finally, for me, in terms of uses of cash flow and to the enhanced shareholder value, we've tracked here the cumulative dividends and share buybacks over the last 10 years since ending 2014 and, over that period, have returned GBP 4.4 billion to share owners 58% of the cumulative headline earnings over that 10-year period. And actually, you can even see in the year so far, with the additional buybacks that we have spent and the addition -- and the dividends, which is basically in '15, as the '14 final coming through, there's probably another GBP 1 billion, a GBP 5.4 billion, that will have been distributed over the 11-year period. 
 So with that, I'll hand over to Martin to make a comment. 
Martin Sorrell: Okay. Thanks, Paul. I'm on Slide 34, where we just described how we feel about the market environment, what are the key factors, macro and micro. So starting with the macro. 2015, as we've indicated in the press release, forecasts nominal GDP growth forecast to come down, started to come down maybe the last quarter of 2014. And in the third quarter, about -- well, the World Bank, IMF and Goldman Sachs were example of trimming their forecast more on the nominal than the real, but even the real, and the real went from about 3.3 to 3.1 and nominal in the 3.5 to 4 area. 
 The stock market correction, generally, and particularly in China, which didn't affect the Chinese market that much because the stock exchange is not quite as important in consumer spending or consumer saving in China and elsewhere. But that had an impact on the markets, and we witnessed fast-growth markets slowing down. As we've indicated, the last man standing of the 4 BRICs markets, Brazil, Russia, India and China, is really India, at least for the moment. There's continued recovery in the U.S.A. It's a bit patchy. You talk to different clients, they have different views of some view the U.S. market as continuing to be really strong. Some others say it's not just a function of a strong dollar, which is driving tourists elsewhere, but also domestic consumption is affected as well. U.K. continues to grow, but I think we are getting into an election cycle here in the sense that the chancellor and the government want to contain the deficit and deal with the deficit. And they've got until 2020 the next election to do so, and the chancellor will probably be leading the conservative party into the election. The Eurozone, however -- the Western Continental European markets continue to grow quite strongly. In fact, the strongest region, arguably, that we had or subregion in our business in the third quarter is led by Germany, which is very strong, strong [ph] now in Europe; followed by Spain, where we're witnessing a sharp recovery at last after 7 or 8 years of struggling after Lehman. Italy also continuing to improve. Renzi, the Prime Minister, I think, won some hard-fought changes in political structure. 
 And last, but not least, France, where some signs, but it's still pretty flat there. So the mature markets are improving. The Greece crisis has receded, but they still have unsold debt and refinancing issues. We had our digital screen conference there last weekend or weekend before last, and it's quite clear that we may see problems re-emerging, I think, in the middle of next year. 
 Strong growth continues, as I said, in India and some of the smaller fast-growth markets, the Philippines, Vietnam and Mexico, and Mexico being particularly pleasing after some stagnation there. But in the realm of the overall market, a small impact. 
 Budget management is still key for the U.S. and U.K. as I mentioned, and there are growing concerns about the impact of any change in fed policy, as you well know, and the impact on markets both debt and equity. 
 There's pressure on traditional media. We've talked since the ESPN data came out in the Disney results, and clearly, there are some changes taking place in the attitude towards traditional media, but I'll come on to that in a little bit more. But changes in viewing habits are having an impact and in -- and on new media, there are concerns on viewability, value and validation, as one of our clients, KeySuite [ph], see a movie in [indiscernible] and GroupM has taken, as you know, a strong position on C7 as opposed to C3 on viewability. As we know, a view online can be 3 seconds and with 50% of the sound turned off. So clearly, we're having to -- the standards that are applied to online media in terms of measurement are much lower than the standards applied to offline. And when Philippe Dauman, for example, complains at Viacom about the lack of Nielsen ratings on Nickelodeon or MTV, he's certainly right, maybe not totally right, but to a very large degree, he's right. And there has to be a change in the system and, hence, our investment in comScore and Rentrak. And we are, as you know, coming together to provide an alternative model starting initially in the United States but then moving out from there. 
 Geopolitical concerns are heightened in the third quarter. Syria, Iraq, Libya and Turkey. The migrant issue, the immigration problems. And then the background of Russia's sanctions and the possibility of a Brexit, a British exit, from the EU. The polls, for what they're worth, are indicating that it's a much tighter vote, certainly, if it was done today than it was a few weeks or months ago when the yes vote or the staying in vote was -- had a stronger position. 
 And finally, from a macro point of view, there are significant opportunities in Cuba and Egypt and Iran on the basis of sanctions are lifted and those -- hopes of those countries are real. Egypt has 19 million people, and Iran, just over 80 million, Cuba around 12 million. So we're talking about significant markets, particularly in the case of Egypt and Iran. 
 From a micro point of view, clients are still focused on the application of technology, use of data and content and, of course, following consumers' changed habits in new media. And this, obviously, does have an impact on the media reviews, the reasons for the reviews and the decision surrounding the reviews. It's quite clear from what I've seen in the pictures that we've made in the, what we call, the tsunami of media pictures that those 3 areas, technology, use of data and content, are critically important in discerning client's decisions after the issues of talent and pricing. And on pricing, I would say what I said this morning, we are seeing some very aggressive moves on promises on pricing even to the extent we understand the guarantees being given, which are not given up. In most markets, we're 25% to 1/3 or even more of the market, and we know what the market will bear. And some of these guarantees or indications of guarantees will end in tears because they're just not deliverable. 
 Client concentration on reviewing media strategy is understandable. Media costs or media investments are the biggest line items on many P&L's. And as a surge of pitches, as you know, and the most significant or several of the significant ones are still undecided but will be decided in the next 1, 2 months, certainly by the end of the year. 
 The landscape of digital media, as I mentioned, is changing. ComScore and Rentrak, thankfully merging. But issues such as adblocking and bots add to the complexity. On adblocking, no, I think particular worries as yet. If you think about the fact that 90% of mobile is iOS or Android, and 90% of iOS/Android platforms activity, 90% of it is on apps. That doesn't mean that apps can't be modified in due course, but I think what we've seen to date, the potential solutions of government regulation, which is highly unlikely, improvement of creative capabilities, which I know a number of competitors have suggested as being the most effective. It's certainly one of the responses, but I don't think it's the most effective. Probably the most effective will be turning off adblocking or Google turning it off, for example, in the case of YouTube. 
 The other -- and just to make the point that if adblocking is successful, all it will do is increase the price of content. So from a consumer point of view, it's difficult and it will result in increase, as I say, in the price of content. On bots, we have that article in the front page of the FT a few weeks ago, which indicated that Google has been underestimating the penetration of robots in terms of views on YouTube. So there is a concern that on this whole area of the measurement, it's a lie to the measurement area. 
 Clients are still focused on opportunities, however, in the fast-growth markets, despite the volatility. Client investments in capacity and brands in those markets and in mature markets in the brands in order to maintain or grow share with their restriction on capacity. But however, efficiency and effectiveness are still key with client pressure on pricing, on payments terms and contractual issues. And that has not gone away. That continues to be the case. Whatever the data that we see from the industry, the general tone is a downward pressure on cost and, of course, a wish for greater effectiveness so doing better work at the same or cheaper prices. And there is pressure, quite understandably, for continuous improvement. And I don't see the environment that we've had post Lehman of low GDP growth, a lack of inflation and, therefore, lack of pricing power changing. I don't see an upside breakout from that. I don't see a downside breakout from that, and maybe next year, we'll get a beneficial impact of maybe 100 basis points or so, one margin -- 1 percentage point on advertising growth as a result of the Olympics, the World Cup -- sorry, the European Football Cup and the U.S. Presidential election. But I don't think there's any reason to believe that this new normal, if one can call it that, is going to change. And the final area is that you have, at one end of the spectrum, the disruptors like an Airbnb and Uber. On the other end of the spectrum, the 0 -- so-called 0-based budgeting models, and we've seen ABI make this successful move on SAB subject to regulatory consents. And even in pharma, with Valeant and Endo being 2 examples of the 0-based cost models. In pharma, although Valeant has come under pressure and its market value has come under pressure since, I guess, starting with Hilary Clintons' criticism in the presidential campaign of pharma pricing. And activist investors in the middle have been putting pressure on companies for short-term performance, although there are 1 or 2 activist investors who say they are really interested in the long term and not necessarily focused on the short term. But there is a growing focus on the long term from some institutions and some companies -- and some of the consulting companies.  
 Turning to Slide 35. We just included what we call the Mary Meeker slide, which compares investments -- proportion of investment in the United States in 2014. For the industry, not for WPP, but for the industry versus time spent. And you can see the 3 big discontinuities are in traditional print, lower time spent against the investment and mobile, on the right-hand side, where lower investment versus time spent. And then there's interesting change in the middle, where linear TV, remember the digital print and digital TV is in the Internet mobile columns. But that middle column where, for the first time, linear TV is showing a little bit of a difference between time spent and investment. Having said that, to be fair and to balance the argument, on Slide 36, we include engagement statistics, which come, in this case, from Canada, although there is other data from Australia, the U.K. and other markets. And this clearly shows that from an engagement point of view, namely the engagement of consumers when they engage with these media, that the position may not be quite the same as time spent. So time spent may not necessarily mean greater engagement. You see in this chart that newspapers and TV in their linear form are, and even in their digital form, have some greater engagement. So I want to try and just balance that argument out. It may be that given the concerns about measurement, given the concerns about, what we call -- or what we KeySuite [ph] calls the 3Ds of value, validating what's going on, on viewability. But given all that, that what this means is that you have to be a little bit more balanced in thinking about traditional media versus new media. 
 On 37, we just highlight the improvements in our efficiency that will come from the IBM strategic partnership and IT transformation program. That is scheduled to deliver GBP 30 million or $50 million of savings in 2016 and GBP 50 million/$75 million in 2017. To date, that really has not kicked in, but it will kick in starting next year. And we have consolidated an outsourced application development and maintenance to Centres of Excellence. We set up central business services team with direct reports, so there's a direct reporting function from the operating companies up to the parent company in that area. We're managing IT and communications and development costs across of the group. We've established Shared Service Centres in Spain, Malaysia and U.S.A. for the health care and public relations and public affairs businesses. And we've appointed an International Head of Shared Services from outside the group to drive this program. So this program will start to have, we believe, some profitability and margin impact next year. This year, of course, our margins, as Paul has pointed out, are already, certainly, at the end of Q3, 50 basis points up on a constant-currency basis and 30 basis points pre-currency. 
 On 38, we just highlight what's been happening to worldwide GDP. You've got a -- and compare that -- or 2 estimates of that GDP to our revenue growth. And it is quite remarkable that our revenue growth -- and you got revenue and net sales, so starting Q1 of '14, we started reporting net sales. And it is quite remarkable how correlated, almost 1 to 1, our net sales and revenues are to GDP and fluctuations. And we've give you 2 types of GDP, the orange line is Goldman Sachs' forecast for GDP, and you can see it coming down, particularly in the last few quarters, and it's now down to 3.2% real for the year -- for this year and maybe 3.5% to 4% for both the Business Council and Goldman Sachs, Business council at 3.3%, so pretty much in line. But it's interesting that at the beginning of the year, the Business Council always seems to be more conservative. And I think people who run businesses are more conservative about the prospects, and over the year, they -- the IMF or the World Bank or Goldman or others come down to where businesses were. But you see the correlation between GDP. And then that blue line is what we call the WPP nominal GDP. 
 And on Page 39 -- Slide 39, you see an explanation of that. So we compare worldwide GDP. So for example, the U.S. represents about $18 trillion out of the $69 trillion or about $73 trillion worldwide. The U.S. represents about $18 trillion. GDP percentage, therefore, will be 26%. WPP's revenues as a proportion of the total in the U.S. is just over 1/3. So we're overweight U.S., overweight the U.K, underweight China, despite our dominance in China, and we're the third largest market for us at GBP 1.65 billion of revenues. Despite that, we're underweight the GDP average, same for Japan and marginally very much less for India. So you see, the reason why the WPP GDP growth has started to outpace the worldwide GDP growth because of our over-indexing on the U.S. and the U.K. 
 On Page 40, we just reiterate the 4 pillars of our strategy. [indiscernible] fast-growth markets to be 40% to 45% of our group revenue over the next 5 years. We're currently at around 30%. Unfortunately, or whatever, currency weakness in the fast-growth markets obviously diminishes the contribution. But if currency is stabilized, we'll resume that 1% a year increase because of faster growth in most faster-growth markets. And we'll be in that range of 40% to 45% over the next 5 years or so. 
 New media, really up to 37%, as you know, from the first 9 months. The objective to get to 40%, 45% in the next 5 years. And each year, we get -- we seem to rise in terms of share by about 1%, so we should be there well into that range within the next 3 or 4 years. 
 Data investment management and quantitive disciplines are 1/2 of our business data; on its own, is just 1/4 of our business or -- and that's in line with our objectives and we've made that objective. 
 And then horizontality, getting our people to work to get the benefit of clients becoming more and more important, we now have well over 40 -- about 45, 46 clients that we work. We have client leaders, and we have country managers and sub-regional managers in 51 of 112 countries that we operate in. So pulling people together in a more cohesive way is critically important, and I think probably, we should reverse the strategy in the sense that having horizontality is almost the core, and the other 3 objectives is also core. But in a way, subsidiary to what we're trying to do in pulling the business together for the benefit of clients. Because given this low-growth scenario and low inflation, effectiveness and efficiency is becoming increasingly important. 
 We just highlight on 41 our new markets strategic priority. We're at 30%. As you see for 2014, the objective is to get to 42.5%, and you can see the projected growth in the BRICs. Having had our -- I think it must be our fifth board meeting of WPP in China over the last few years in Beijing for 3 or 4 days it's quite clear that the new consumers are going to come from Asia. The 1 billion or so will be preponderantly Asian, although they'll come from Latin America and Africa and the Middle East and Central and Eastern Europe, too, but primarily from Asia. And that remains, in the longer term, the important point. And also what was clear from the board meeting was that the local companies, which account for about 40% of our Asian revenues in China, as I said, about GBP 1.65 billion, that the local companies are becoming much more competitive. The real competition to the major multinationals are not following multinationals but the local companies. 
 So first one, new markets on 42, new media already 37% in the first 7 months of this year, going up to 42.5% by 2020. And you can see the global digital ad spend forecasts for the world. 
 Page 43, data investment and quantitative disciplines already over 50%. So we're well in line there, and there'll be some interesting things happening in the next 24, 48 hours, not on a big scale, but on a small scale in terms of extending our technology capabilities and applying data. 
 On 44, finally, the horizontality, I mentioned, 46 clients that we work with across the group, over 38,000 people working on those accounts. And then there's about 51 countries out of 112 that we have country managers, putting together our offer as demonstrated on that slide.
 On 45, we just focus for a moment on the companies that we've invested in. So we have the companies we own 100% of; the companies we own over 51% of and control; the companies we own 20% to 49% of that we don't control but we have significant investments in; and last but not least, which really don't show up in our P&L, the companies that we own up to 20% of, the investments that we make in technology, data and content.
 And just to underline, in the pitches that are currently going on and that will go on, it is clear that technology data, the application of technology, the data and content are critically important determinants beyond the most important areas of talent and I guess, secondary, price. But in terms of differentiation, this is becoming increasingly important.
 Our investment in AppNexus, we have about 16.5% there. Our investment in Globant, about 20%, a company which is now valued at well over $1 billion as opposed to $300 million a little over a year ago. And this is what I call our Sapient killer, which is clearly making progress in the Globant Sapient space against clients and against people. Mutual Mobile and Mobile ActionX and Medialets in the technology, the general technology addressable targeted area.
 In data, Rentrak and comScore, I've mentioned, thankfully, they're coming together. They will, early in the new year, have a new combined offer, which will be across offline and online and extremely competitive. And then we have our investments in Invidi and Infoscout in the targeted and addressable areas too.
 On content, probably most prominence to Vice and Fullscreen and Media Rights Capital, which did the House of Cards and Ted and Ted 2. But in addition to Imagina and Fullscreen, obviously with 100 -- more than 100 YouTube channels indigenously. And last but not least, Truffle Pig, with Snapchat in terms of the changing consumer habits in millennials and centennials. These investments, in and of themselves, are valued now at over $1.3 billion either because they're privately held through fundraisings, the valuation is generated by fundraisings or through market values.
 On 46, finally, we just summarize the outlook. Our unreviewed quarter 3 revised forecast, Paul and I and others will be looking at it over the next couple of weeks, reflects characteristic caution in the fourth quarter. Our like-for-like revenue and net sales growth target is over 3% and that's maintained.
 We have had a good 9-month performance against the margin goal, which has been supported by the restructuring and IT transformation, not impactful of that, but had -- a number of people in the company has come down due to the transfer to IBM of about 1,250 people. Basically, our headcount has remained pretty much constant whilst the revenues have been rising at about 5% of the net sales at around 3%.
 And our full year target for margin, despite the fact we were 50 basis points ahead on a constant currency basis, remains 30 basis points and 0.3 margin points improvement before the impact of currency. Currency headwinds have been increasing in Q3 from flat in Q2 to minus 2%. The full year headwind, we anticipate, are minus 1% to minus 2%. Our headcount, as I mentioned, is virtually flat. So we're really watching the hires to support growth in revenue, and that's going to be well controlled.
 And last but not least, we really do believe in the context of these media tsunamis going on the group is very well placed geographically and functionally to capitalize on industry trends, leading position in fast-growth markets, in new media, in data investment management, including analytics and the application of technology, and last but not least, getting our people to work together. And that's, I think, just important to underline that technology data and content are becoming increasingly differentiated in our industry.
 So operator, that's the formal presentation. We can now hand over to you for questions. 
Operator: [Operator Instructions] Our first question comes from James Dix of Wedbush Securities. 
James Dix: I guess, I had 3 things. First, it seems to me one of the subtexts behind what the ANA and the other groups have been looking at regarding trading and transparency is that it's having some impact on margins potentially in the media business that perhaps clients are -- might not be aware of. So assuming that your margins in your media business have been trending higher along with the rest of your consolidated operations, are there any insights you can give as to what's been driving that in that business? Or are the drivers there not all that much different than they are to the rest of your businesses? 
Martin Sorrell: Okay. Well, first of all, James, margins have not been improving, so we can just put that to one side. Secondly, on principal trading, we made quite clear, as you well know, for the last and I think it's 2 years, that we are principals that the basis on which we went to the principle trading online was on the basis of opt in, and we could have chosen the opt out, which I think Omnicom basically took that position, although they did not disclose until well into the process that they were principal trading until it came out on a quarterly call of this nature about a year or so ago. So we've always gone on the basis that this was a different approach, and we would only go in on the basis of opt in. And just to point out in relation to what you're saying is that the client always have the right of audit and that continues to be the case. On the ANA thing, I should say I can guess [ph] the pity that the 4 A's and the ANA didn't agree between them, the basis on which any further inquiries will be made. But it is what it is, unfortunately. But we'll obviously cooperate with everything that we make and quite clear that the U.S. is not a rebate market. Several of our competitors have also said the same thing, although not all have confirmed that to be the case. And just finally, I would say, we've been absolutely transparent. If we're talking about transparency, James, we've been absolutely transparent about 3 numbers: Billings, we have an audited billings number. Nobody else does that. I'm talking about in terms of audited accounts. We report half yearly, so you get a billings number. You get a revenue number, which everybody else gives, again, an audited number; and then a net sales number, which we alone give, and that is audited too. I think the first move the ANA should make, if I can be so bold, is to ask the agency groups to be quite clear about what their billings are, what their revenues are and what their net sales are. And I must express some surprise, James, that you and others, analysts haven't managed to secure that information. We've had -- we've talked about this for -- countless quarters. Until you do that, you don't know what is happening, in our cases, in 2 principal areas, that is the area of online trading, in veto [ph] inventory. The second area is data investment management pass-through, of course. You know as well as I do that, for example, Omnicom has a major [indiscernible] business. It is according to its own website, well over $1 billion in volume. If Omnicom's revenues are $8 billion in the U.S., which I think roughly they are, $1 billion of it maybe, I'm posing the question, which if I was an analyst, I would pose, maybe 1/12 -- 1/8, 12.5% comes from [indiscernible] trading. How is that accounted for? A legitimate question to ask. We also know that here in Europe, 2 of Omnicom's biggest businesses in Germany and Spain are telesales operations, where there are significant pass-through costs. Again, unless you know what the revenue and net sales for you, you won't know the scale, as already [ph] well for IPG to say that they don't have any principal trading. But do they have any pass-through costs? They have a major experiential event business called Jack Morton, [ph] which does significant amounts of -- has significant amounts of pass-through costs. The reason I'm going through it in some detail that it's a little bit less transparent or a bit more opaque in the case of other groups because you don't quite know what's going on with -- Publicis, for example, this week, sold a -- I think it was a 2/3 interest in a company called Metrobus, which is a bus shelter poster company and sold it to Decaux. Again, that may not be significant in the context of the overall operations, but I think we should know what the revenues are and what the net sales are and what the billings are. If it's not a material difference, what's the problem, just give the number. And if the number is the same, fine. Why is this that there is -- why is there this reticence not to reveal the numbers? I don't understand it. It makes no sense. If there is difference, James, by the way, it will improve your margins. It's fine. 
James Dix: Right. No, those are fair points. And just one other on the margins and then I had a broader one. I just want to be clear, those expectations for GBP 30 million and then GBP 50 million in savings in 2016 and '17, are those the all-in expectations from the shared services and IBM and other initiatives? Is that just IBM? I'm just trying to make sure I have the right total amount that you're looking for at this point in terms of savings. 
Martin Sorrell: I believe it's just IBM, but Paul can answer. 
Paul Richardson: Yes. I think it's just IBM, James, because like every one of these projects, there seems to be a sort of 1-, 2-year investment phase. And then the payback comes. So that was, as always, that it should be, the way the IBM infrastructure outsourcing project will phase it through. So there was cost in '14, cost currently in '15 with a benefit from the '16, '17. The shared services, I think, have different benefits, more in control and working capital management and probably less so in terms of costs. Initially, when we set these things up in terms of putting the teams together, having consistent accounting software in the region to be -- to pilot it and then put into operations. So they tend to be cost neutral, but their benefits are in different areas, as I mentioned on control, audit cost and working capital. The IBM projects are the numbers you've got. Obviously, we have led in a new project with them, as I have it also with IBM on this application, development and maintenance that's not nearly as significant. And whilst there are some modest costs upfront, I think we can absorb them and deal with them and get the benefit until we finally gain more in platform efficiency rather than financial direct benefit. 
James Dix: Okay, great. That's very helpful to break that out. 
Martin Sorrell: And James, I would ask you. Solicit your aid, along with the 43 people that are on this call, to get a little bit of standardization in terms of billings, revenue and net sales. 
James Dix: I will. I will take it upon myself. 
Martin Sorrell: They won't listen to me. They might listen to you. 
James Dix: Trust me, they'll listen to you. And just my last one. Following on your, I guess, was your last point on Slide 34, kind of breaking out a difference between disruptors and then seeing the more zero-based budgeting clients, I mean, are you seeing any broad differences in -- either in terms of the media spending intensity relative to revenue or in the media mixes between those 2 groups? It seems to me, like back in Web 1.0 days, there was once some sense that some of the newer players would come in and they would start spending on traditional or classic media in order to raise their brands, and that was one source of growth for TV. Maybe that's not happening as much now. So I'm just wondering since you broke it down, whether you're seeing anything there that we should be thinking about. 
Martin Sorrell: No. I think it's an interesting point. I think on the disruptors you do get the disruptors investing in not just new media, but in traditional media, too. I mean, without naming names, a number of the new media companies, I can think of one which is in our top 50 clients and make significant investments not just in new media, obviously it's interesting, but in traditional media too. So on the other side on the zero-based, I mean, there is evidence that the zero-based budgeters are becoming increasingly focused on the top line. And it's all very well making the investments or making the acquisitions, I should say, and stripping out the cost. But if it's going to be a long-term model that it is clear that if you're going to have a long-term model, you are going to have to grow the revenues, and it can't be by just cutting costs. And we are starting to see, if not public statements, certainly, private or semiprivate statements that clearly say that we're in business for the long term and we're going to have to do something about the long term future of the business. I'd even say, for the activists investors -- we made our presentation this morning. One activist investor contacted me today, I won't say which, and said that he believes he is interested in the long term. So I said, I would -- without naming him, I would make a point that there are activist investors who are not solely interested in the short term. 
Operator: Our next question comes from Dan Salmon of BMO Capital Markets. 
Daniel Salmon: So Martin, I wanted to ask a little bit about China to start. You noted, I think, on Slide 39 that it remains a smaller proportion of your revenues than it does as a percent of global GDP. And yet we've seen over the past few years, your net sales there have been flattening out a little bit more, underperforming GDP when we'd expect it still to be accelerating and maybe seeing that balance of revenue and proportional GDP come in line a little bit more. So could you start just by commenting on that disconnect? Is there something structurally different about China? Does it still need to get more competitive? And then I've got a follow-up after that. 
Martin Sorrell: Yes. I don't think -- if I look back and you got it on the Chart 19, when you look at Greater China, year-to-date obviously is disappointing. But if you go back to 2014 and indeed 2013, I think perfectly satisfactory. The question, Dan, is do you think that the economy is going at 7% or 7.5%? The president, I think, said this morning, and I quote a news item when I got up this morning that said that 7%, 7.5% is not sacrosanct. They're in the midst of developing the 13th 5-year plan. The 12th was 12.5% compound. Actually, the 11th was 12.5% compound also, but they delivered 11% compound. Now it's true to say that we grow at roughly -- well, at GDP levels or GDP in 1 to 1.5x GDP growth if you went back in time. But I have to say that the current sort of focus on China -- the one question is, is the GDP growing at 6% or 7%? Or is it more likely 4% or 5%? But if you look at some of the specifics coming out, for example, electricity supply, it clearly indicates that the economy is growing at a slower rate than 6% or 7%. And I think that's sort of in our statistics. Now the other point is -- so what I touched on is that the local companies certainly are becoming much more competitive. If you look at the competitions of multinationals, it's not fellow multinationals I think anymore, but it's the local and regional companies. And the local companies in China who are really becoming regional multinationals, even global multinationals, are becoming much more conscious of branding, and they account in [ph] advertising. And they account for about 40% of our client base, and we'll see improvements there. But so far this year, we're forecasting, in the Q3 RF, a stronger Q4, but we have to see how that shapes out. But so far, we haven't maintained the growth rate that we've had there for -- well, it's almost getting up to about 25 years. So although we are underweight, as you point out, from an industrial point of view, we are very much at $1.65 billion, we don't know. Again, this is another number that we don't get from anybody. But we're so -- I would guess, we're about 2 to 3x bigger in scale in the Chinese market. But this year, it has been reigning [ph] back. To make the other point I'd make is that Greater China, which includes Taiwan and Hong Kong, has been even tougher, and that reflects more difficult conditions, particularly in Hong Kong, less so in Taiwan, in terms of growth. And the other final point, it took America 100 years to become the world's largest economy. It may take the Chinese half that period of time in absolute terms, not per capita terms. And I think you're going to have blips, you had it in '97, you had it in 2003, '04, you're having it again now. The question is, will the [ph] government correct the course? I think you'll see in the 13th 5-year plan a more relaxed attitude to top line GDP growth and a more intense focus on consumption, the health care safety net and services. So the service business in China crossed 50% of the Chinese economy last year in 2014, so does services sector. So it reads like a charter for us and indeed, our industry in the Chinese economy. 
Daniel Salmon: Great. And then just a quick follow-up. On the data investment management segment, we saw a sort of flattish top line growth again this quarter. Last quarter, you put that up as well, but also had really strong margin expansion. Is that continuing as the trend in the third quarter? And more importantly, as we look ahead to next year, is it another year of sort of modest top line growth and working on efficiencies? Or do you think the top line can start to work there as you have some easier comps? 
Martin Sorrell: Well, it continues -- the margin expansion or the margin strength continues. I think, from a top line point of view, the problem, as we've discussed, is the perhaps the project business, the custom business, as we call it, rather than the panel business. The panel business continues to do well. And it's the project business pretty much in the mature markets, it's not so much in the fast-growth markets where insight -- consumer insight and knowledge market research becomes more and more important. So I -- we're planning on the basis. I mean, it's -- nobody's asked about 2016 yet, they probably will. But I mean, we're planning on '16 and it's early days. We've done our 3-year plan updates for '16, '17 and '18, which aren't just organic but growth for [ph] acquisition. But we're just going into the budgets for '16. My guess would be, if the position for '16 will be very similar to '15. The worldwide GDP growth forecast are very similar. The kicker that we will get next year would be around the Olympics, which I think it will be certainly a visually stunning Olympics around the Football Championships in Europe. And last but not least, the presidential election, where there will be heavy obviously political spending, not that it affects us directly, but indirectly, it does. So I think maybe you get another 100 basis points on the basis of history is what we see in terms of industry growth, not GDP growth, obviously. But -- so I would say we're planning our data business that it will be -- continue to be tough in terms of top line. The other thing that is quite clear is that the new business record is supported and reinforced by our investment in data and data investment management. It's quite clear for me, the pictures that I've seen and had a direct knowledge of rather than indirect that those areas of technology and applied technology data and consumer insight and last but not least, content are becoming more and more important in terms of client evaluating whether agencies know what they're doing or not. 
Operator: Our next question comes from Brian Wieser of Pivotal Research. 
Brian Wieser: First, you made comments during the earlier call this morning about  potentially a swing back to traditional media in a sense. I was wondering if that sort of thing is positive, neutral or negative for you? To the extent that digital media is more labor-intensive and revenue-enhancing, but then on the other hand, it's a bit more automated, I'm just curious, to the extent that there are concerns around bots and fraud, do cause any sort of swing back? [ph] What, if any, impact you would see? And the second question, I'll just put it out there, I'm curious about any collaboration that you'd like to see from Kantar with the combined comScore and Rentrak? 
Martin Sorrell: Okay. On the first, I find myself a little bit bemused because when we're moving to digital, I'm not suggesting it was a Brian Wieser comment, it was a general comment, is the move into digital margin dilutive and causing us problems. And now -- you're now -- if that was the case, well, then traditional probably would have been stronger. So now if it's possible that traditional is becoming a little bit more prominent but we're asked the reverse question, is that I am a little bit confused by that question. But maybe I'm being a bit unfair because you didn't raise it. I think the answer is no. I mean, I think you're right. It's less labor-intensive or some areas are less labor-intensive. But what we're trying to point out is not that there are massive swings, but in looking at the effectiveness of online, which has gone through this growth surge certainly for the turn of the millennium, for 15 years, that as new media, it's for 30% -- almost 40% of our business. As new media has become more prominent and on average, it seems to be about 24%, 25% of budgets, clients have been looking at that spending more carefully with greater intensity. And they've been saying, not everybody, but if you look at our second largest client, the CMO said he's worried about 3 Vs, which is value, viewability and validity. So validating how effective it is, you have on top of that concerns about bots, as you pointed out, and measurements, C3, C7 measures of viewability. I mentioned before there's 3 seconds per view. It does not constitute a view if half the sound is off or half of the views are made without sound. So the standards -- the end point I'm making is the standards has to be the same. Because something is new, probably the standards have been lower. And I'm just suggesting that -- and there's data to support it. Then on the one hand, you have the Meeker data, which is on the basis of time spent on it. On the other hand, you have the data such as -- we've outlined in our presentation from, in that case, from Canada, but there's other stuff from Australia, the U.K., which suggests that engagement with traditional media is better. But to be honest with you, I think you're being a little bit too sort of granular by saying, does that mean there's going to have any impact on the margin? It's not a question of that. At the end of the day, it's a question about what's the right investment. I mean, I could argue with you that if that was the right way to go and we were recommending it was, that wouldn't result in significantly more business as a result. So I don't think it was anything to get exercised about other than what is the right optimization in terms of new media and old media for the clients as they wrestle with the complexity? Some people refer to this as confusion. It's not confusion, it's complexity. Life has become much more complex. And we do benefit from complexity because people are looking for advice on how to deal with that complexity. And sometimes, the pendulum moves too far one way or the other. And I think what this data indicates, that maybe it may be that the pendulum moves back a bit and then goes further once people have dealt with all these issues that are surfacing. 
Brian Wieser: That is very useful. I think we hear occasionally from investors who do wonder whether or not activities that are associated with digital are more profitable versus less profitable, and obviously, these concerns aren't going to cause some broad trends to change right now. But on the second matter regarding Rentrak and comScore and in relations with Kantar, I'm just curious if there are any sort of things on a wish list that you have in terms of the further collaboration that might have emerged in your mind in the last couple of months. 
Martin Sorrell: Well, first of all, the regulatory things have not happened, so it's premature. But we anticipate or hope that, that's going to be dealt with fairly quickly. And on the assumption, it is -- I know that Rentrak and comScore are going to unite to bring together a standard. What I want, not what I want, but what we wanted WPP, GroupM at Kantar, which is half of our business between the 2 of them. It's about $10 billion in total revenue out of the $19 billion. What we want is in the U.S. and elsewhere and the countries in which we operate using this measurement as well, 45 countries or so, is the best standards of measurement not just for offline but for online. And I always use the example when Philippe Dauman complains that Nielsen doesn't mention MTV or Nickelodeon, right? He's right. He may not be totally right, 100% right, but a high proportion right because it doesn't capture the alternative screen viewing. It doesn't capture, on the C3 basis, it doesn't capture everything. I think Nielsen says that they capture some data on a C7 basis. But they are -- I mean, if anything, they are being pushed harder into providing a better measurement, so this -- which I think is the right thing to do. So what media owners want is better measurement. What clients want is better measurement and what the agencies want. I mean, even one of our competitors, Omnicom, in its quarterly call, did say that they thought they've got our stake wrong, it's not 20%, it's 16.5% of the combined Rentrak, comScore when the deal -- if the deal goes through. But even they were saying that it's what's needed. And I think we're all agreed on that, all the agencies agreed, all the clients, if not almost, and the media owners. So we want a better, more dependable, more robust, more widespread, more -- a better sample. And this is not to be critical in Nielsen because it -- the same thing is true. In other jurisdictions and other countries, it is where the approaches have been too narrow and you've got different changes in population. But rural to urban, urban becoming more important. And you haven't got the coverage that you need necessarily in the system, the panels change, et cetera, and you have to update the panels and have more sophisticated technological ways of capturing the data. 
Operator: Our next question comes from Alexia Quadrani of JPMorgan. 
Alexia Quadrani: Just a couple of questions. First, just circling back on your commentary I think around the first question that was asked about the net sales and the difference in the reporting, I guess, in gross revenue from you and your peers. If you were to look at your like-for-like constant currency growth and I guess, what they call organic growth in the quarter, would you say that the difference between sort of what Omnicom and IPG have reported so far, even Publicis, and what you have reported really is just that difference in reporting style or reporting metrics? Or do you think there's other elements that might influence the difference? 
Martin Sorrell: Well, I think Alexia, it's 2 things. I mean, our approach is a balanced approach. So as you well know, as we talked about this for years, we incentivize our people. We're transparent about that, by the way. We shared margins before incentives and after incentives, which, again, I think with the exception of IPG, there's nobody else that does that, and that might be a good idea to incorporate that as well. But we have a balance between revenue growth and operating profit growth and margin growth. Some of our businesses are keen on that approach, some are not. And you know how we give the incentive [indiscernible], that's roughly -- it's 50-50 for both. I don't think necessarily that's the same approach applied. I can't specifically talk about -- you mentioned 3 companies. I didn't quite know how their incentives work. But in 1 of those 3 cases, I know it's based just on profit and revenue and profit and it's not based on margin. We've taken a different approach. We're looking for higher-quality improvement in our revenues and margins. So if you said to me, how do I compare our performance to the competitors? I look at it, at revenue growth, net sales growth, well, net gross [ph] we don't have a number and margins. Now we do have the margins. IPG starts from a lower level, has grown its revenues well and starts from a lower level, same for Havas. At Publicis, high level of margins but of course, revenue growth has come under pressure. Omnicom, strong revenue growth but the margin stayed the same and had stayed at the same for the last 5 or 6 years. So it's a different way of doing it. The other thing is I'm very focused on buybacks. The -- we -- you see from our 10-year graph, we distribute, in one way or another, 50% or thereabouts of the profits, the -- operate the cash flow. Omnicom is more like 100%. So we've taken that other 50% and reinvested it in our business rather than just distributing it back to shareholders. You see what impact that's had on total shareholder return. In fact, I was running the numbers just before we started the presentation, and you can do the comparison on TSR over the last 10 years and compare the impact of the different approaches on TSR. So I would say very briefly, in summary, we look at top line growth and margins. And I think one of the things that's going on and I touched on it in the slide presentation is that commitments are being made that are unrealistic. I mean, we are in markets -- broadly in markets. Most markets, we're 25% or 1/3 of the market. We know what the market can bear and do. Promises and there are some stellar examples of this that are going on at the moment. Promises are made, which are very difficult to analyze a year out. And the people who make the promises are operating on the basis. It's very difficult to measure it a year out. The -- all the parameters and variables move and therefore, it's very difficult to figure out from where you started. But what you do see in some of the operating results that you see is the impact of the sort of guarantees, promises, however you want to describe them, when they don't work out, that they cause problems in country reporting because they're committed to -- usually on a country basis and you see the fallout on a country-by-country basis. So I would just sum it up by saying we're probably more balanced between revenue and profit margin. Others are maybe more focused on top line and market share. And you have to make your evaluation as to which is the best route. We may be wrong, they may be right or vice versa. 
Alexia Quadrani: And just a follow-up, if I may, on your comments on new business earlier in your slide deck. We went through it, I think you call it a tsunami sort of accounts put out for review earlier this year in the spring, and it seemed to settle down a bit. There's clearly up couple of bigger accounts still sort of expected to be announced the next month... 
Martin Sorrell: I disagree with that, Alexia. The bulk is yet to come. 
Alexia Quadrani: Okay. So you think there's going to be more put into review or the more to be decided? That's my question. 
Martin Sorrell: No, the bulk of the results is yet to come. And there is more stuff out there which has not been -- has not surfaced. So when I think more stuff, I wouldn't say an enormous number, but there are 1 or 2 things going on, which are not public knowledge and should remain not public knowledge. But I'll just say that even the stuff that is known about, there are major that's not -- there have been major decisions already but there's major stuff to come. 
Alexia Quadrani: I guess, my question is, do you think we'll have another wave of sort of known reviews or big headline reviews? Or do you think that was sort of a onetime really big... 
Martin Sorrell: I think it's become -- for whatever reason, it's become part of the business. So you get these reviews on a pretty continuous basis because the pressure in the system, if that's the right way of putting it, is so great that clients are looking for better work and delivered in a more cost-effective way. I mean, I know people in our business, when we meet one another and we say to one another, "How's business," you invariably hear, "It's fantastic. It couldn't be better." It's something -- might be shutting the lights down, but it's always wonderful. And you have to be optimistic in our business to succeed, I guess or even to stay active. But the reality is, it's a tough environment. Low GDP growth, I repeat for the nth time, low GDP growth, pricing -- little pricing power because inflation has evaporated. And with the oil price fall, which would get to 1/3 of where it was and unlikely to flip up from what I'm told for some time. Our pricing power -- inflation is limited, deflation is a worry. Pricing power isn't there. So clients are very focused on cost. And the M&A boom is really primarily cost based. All the analysis you read about in the press from analysts has nothing to do with revenue synergies. In fact, if anybody gives revenue synergies, they're shunned. If you're -- it's cost synergies, you tax them, you apply a multiple. If the result in the sum is greater than premium, great deal. If it's less than the premium, bad deal, that's it. That's the analysis you read about every day. And so everybody's cost focused. And that's the situation. So these reviews, this focus is likely to continue. I don't think it's going to get any better, the new normal, if there is such a phrase, is that situation. That's the way you have to run your business, I think. 
Operator: Our next question comes from Peter Stabler of Wells Fargo Securities. 
Peter Stabler: Just a couple. First, for Paul, going to Slide 15, your 2-year stack analysis, it's very helpful. Comparables ease for you guys in Q4, implying an acceleration if you kind of stick to the net sales, 2-year stack on, call it, mid-6s. Martin, your comments were a little bit cautious on Q4. Just wondering if you could give us a sense whether you think this thing's going to break down or this momentum could carry into this quarter. And then I have one follow-up. 
Paul Richardson: Well, you're right to -- I mean, if you run -- if you do the run rate, you're kind of expecting a 4% to come out of quarter 4. I think as we said it, it's a time of year in which our businesses are relatively cautious in terms of what the final month would bring. And you've heard it from others in terms that there's a big project swing in the final month yet no one can predict it. I think the businesses have to plan for the worst case scenario. We tend to take a view, having seen the same pattern of our forecast and then watch what's having materialized [ph] over the final 3 months of the year, we've taken educated guess about what we believe will come out from the sort of past 10 years' experience. I think we obviously are aware of the fact that our Asia business has been a little weaker in the last 2 quarters and it's still expecting to be -- have a stronger final quarter although it has taken down what we originally thought it would do in quarter 4 to a more, I think, reasonable level. And I think against that, we're also supported by all, pleased with the acceleration we've seen in Europe and North America. So to a certain degree, the parent company has to take a view from all the budgets that come up. But I'd say that our best analysis of this is actually the 2-year run rate because the weaker comparables, as you see they're dropping down from 3% in quarter 3 to 4% in quarter 4, should give us a like-for-like lift in quarter 4 this year. And I think you're already getting an early view of what will then be sort of hashed out the next couple of weeks in New York as we go through reviews and the final numbers as sort of anticipated by our businesses get back to us and get reported to you either month, you're quarterly depending on how the trends go. 
Martin Sorrell: The only thing I'd follow up on is we said we haven't reviewed the Q3, we'll do that in the next couple of weeks in New York. Historically, they've been consistently conservative. I mean, I always remember John, Miran [ph] and I comparing notes on this many years ago and saying we should switch jobs in December because that way, we share the same burden, people being very conservative. So I think people like to beat their budgets, beat their forecast and they tend to be conservative. But that's all it is. I don't think you want to read anything more into it. 
Peter Stabler: Okay, great. Two quick additional ones. So on Continental Europe, we see a bit of inflection point. I think over the last 7 years, we've seen false starts as well. Your comparables there are flat essentially sequentially, is this acceleration in Europe, the fact that a number of countries are involved here, I guess, is this a sign of optimism that the worst is behind? Or was new business and perhaps taking of share a bigger driver over the last quarter and the previous [indiscernible] 
Martin Sorrell: Okay. On Continental Europe, I think Germany's the strong man of Europe. It's very powerful despite being hurt and probably most significantly by the Russian, Ukrainian sanctions. I mean, Germany is still the country that has the strongest Russian influence and connection. So I think that is the prime reason. Secondary is the recovery in Spain, which has gained momentum, which is good news. But we've got to put that into perspective of what you said. It's taken us 7 years or thereabouts to -- or 6 years to get to this level. Italy is improving. I was there over the weekend, and they -- I was talking to the guy who runs our media business there. And he's looking for his, done his first budget for next year and he's looking for 5%, 6%, 7% top line growth there. And then finally, if one looks at, I mean, France, being the other one of the big 5, including the U.K., France continues to be challenged. I think we've seen a little bit of an improvement there but not material. So I would say France is the one that of the 4 that is the toughest. So I think generally -- and then you see peripheral markets, if I can call them that, improving as well as smaller markets. But the key ones, the key drivers are the big 4 or if you include the U.K., the big 5. And they all are moving in the right direction, although the U.K., I think, is going to be tougher as we get into this sort of budget deficit reduction cycle that the government will make before -- as they move towards the next election in 2020. So all in all, I think Western Continental Europe is looking in better shape and about time too. 
Paul Richardson: Yes. And don't forget, the currency is the big advantage in terms of this explorability in terms of product [ph] robustness [indiscernible] I think. From what I understand, it's seems broadly based both by currency, by -- sorry, by country and by discipline. In some sense it's long overdue. So hopefully, it will continue for some time to come. 
Peter Stabler: Great. And the last one, if I could, Martin. I was intrigued by your comments around billings. Billings has been a number that we've always been somewhat skeptical of. Wondering why should we be looking at billings as... 
Martin Sorrell: I think very simple, billings flow through the company, don't they? In case -- so wouldn't you -- I find that response extraordinary. Wouldn't you want to know the flow of billings through the company? 
Peter Stabler: If I had confidence in the numbers. 
Martin Sorrell: Well, they're audited. They're audited. So if you've got confidence in any audited number, here you go. 
Peter Stabler: The media billings data is audited every quarter or twice a year? 
Martin Sorrell: I'm talking about the flow-through of billings throughout not rate card. I'm not talking about that. I'm talking about auditing the billings number. I mean, the true turnover inside these businesses is the billings number. That's the true turnover. There is then revenue. There is then increasingly net sales for the reasons we talked about. But the true number, the true volumes through the business is the billings number. 
Operator: Our next question comes from Doug Arthur of Huber Research. 
Douglas Arthur: Two questions on Xaxis. Has there been any change in the growth trajectory at Xaxis as you go into the second half? And then you talked about ad blocking not as a major issue currently. If it gets more prevalent, does that, in general, changes any approach at Xaxis? 
Martin Sorrell: Okay. On November 18, we have an Investors Day or Investors Half Day in London, and that will be webcast, I'm sure, probably visually as well as sound. So we'll have Brian Lesser there, Irwin Gotlieb, Dominic Proctor. Then we'll have -- we're covering 2 major issues. What we think investors are concerned about which is media along the lines of what you're talking about and also fast-growth markets and we're focusing on China. So we'll have 3 or 4 of our people from China here talking about China. So we'll cover that in more detail. I think the growth rate in Xaxis continues to be strong in the second half of the year and we are hoping will hit at least $1 billion of billings in Xaxis, which, over a 4-year period, is quite an outstanding achievement I think for Brian and his people so I think it continues. On ad blocking, I think there's much we can add at this stage because ad blocking because has not had -- I mean, even the estimates, and I think the estimates that are being made are pretty woolly, but the estimates that have been made so far for the impact of ad blocking have been on the smaller side. That doesn't mean by the way that we can be complacent about it. And it doesn't mean that we're saying it won't become important. But it reminds me a little bit of the discussion about PVRs many years ago, when everybody was terrified that PVRs was going to put us out of business. And now we're not so worried about that. So I think the same thing applies to ad blocking. And I thought it's very interesting. The guy who, I can't remember his name, who created the piece ad blocker withdrew it because he didn't think it was in the people's interest. Most people's interest -- namely, if you have ad blocking and that advertising does perform a useful economic function, it reduces the cost of content. And if -- what will happen is the cost of content will rise for the consumer. Now maybe the consumer is prepared to accept that, but that's the -- I mean, just to reiterate, we could have government control, highly unlikely. We could have better creativity in order to get better attention, that we should do, but it's not easy. The third and most effective thing is we -- Google to turn off ad blockers or prevent ad blockers invading YouTube. That's probably the most effective one. And Google depends, as you will know, to a significant degree on advertising revenues and has a vested interest in making sure that ad revenues grow. So I think it's manageable, but in a way, it puts pressures on us to do the better thing, which is better work, more arresting work, work that's tailored, that's contextual, not out of context, that when you're looking for a car online, you get relevant ads served to you rather than total irrelevances. So it's better targeting. So I think on balance, it's manageable, certainly in the moment. Maybe over the coming years, it will become unmanageable, we'll see. 
Operator: Our next question comes from Tim Nollen with Macquarie. 
Martin Sorrell: Yes. By the way, the growth rate on Xaxis, I'm pulling this just for us, I mean, it continues at the same rate, at exactly the same rate actually. So there's -- we see no slowdown. Sorry, go ahead, Tim. 
Tim Nollen: I appreciate you've been doing this for close to 4 hours now, I think both in London and New York time. 
Martin Sorrell: Yes, we have nothing else to do. 
Tim Nollen: Nothing else going on today, right? Actually, I have 3 questions still. First off, I don't know if you have any comment to make on October organic revenues. I don't know if you're done with the month yet. 
Martin Sorrell: Well, the last time I checked, October hasn't finished. So... 
Tim Nollen: Well, yes, that was my -- yes, that was the ending in my sentence so I'll take that as a no, okay. Second question, I've always thought of ad agency and holding company growth on the top line is coming from a balancing out of pricing pressure with volume gains from clients. And it seems to me you should be able to continue that with more and more complexity and fragmentation on -- overcoming ad blocking, whatever it may be. But with so much commentary on pricing, both in the account reviews and with companies like P&G talking about reducing marketing spending, I just wonder if that dynamic still holds? 
Martin Sorrell: Well, I think it does and I think -- I haven't sort of passed the latest, you mentioned P&G, the latest P&G comments. But as I understand it, they want more efficiency and they want more effectiveness. They want better work at low prices and they want to cut out, as others have done it, what they call nonworking costs or nonworking fees, often excess production costs, duplication. To your point, do I think we can be more efficient? I mean, yes. I mean, we have built a business over 30 years which is multibranded. You can go to the leaf behind the 29-year history from 47 onwards, and you'll see the structures that we have. They're laid out actually on 54, 55 and 56, the sort of brand structures. And they're not rationalized. We think those brand structures are important, they are important in some areas of the business, in -- particularly in the area of conflict, conflict of plans and to some extent, conflict of people. But having said that, there is room for rationalization. So in the same way as there is zero-based budgeters on the client-side, we think there should be sort of zero-based budgeting on our side, too, to make sure we're doing things in the most efficient way. And next week, in Shanghai, we'll unveil our WPP Campus. We'll have 3,500 people on one site in Shanghai, which is 3,500 people out of 16,000 in China. So it's significant, but not all-embracing. It's spread throughout China, this fair. But we want to capture, even in Shanghai, all of the businesses but we'll capture most of them. So there are things -- we've done the same thing in Madrid, with most of the businesses -- about 2,500 people in Madrid in the old Telefónica business building in the middle of Madrid. So there are things that we can do, property things, IT, communications, procurement that will make us more efficient. And I think P&G, in that sense, is quite right. I mean, all our clients face the environment we've just gone through, low growth, little or no inflation, therefore, no pricing pressure or leverage, pricing power. Therefore, focus on cost. And then you add disruption, you add zero-based business models, activist investors, some of whom are focused on the short term and it means -- it adds up to a cocktail of great, great focus on cost. And so P&G's reaction and other people's reaction is understandable. There's nothing that we can do about it. We have to go with the flow and make sure our business is as effective and efficient as it can be. And inherently, there rests an opportunity because we have a big share of the market. We have an opportunity to expand that share. Our view -- and just to underline what Alexia asked, our view -- our strategy is different. Maybe we're wrong, I underline that. Maybe we should just go for market share, but we're not. We're going for what other call quality market share, which means we're not going to make ridiculous, I use the world inane, so I use it again, inane promises on pricing. And we are seeing that, I'll repeat it, we are seeing that in 1 or 2 cases. We've seen it over the years in other cases, but it does show up and people make inane or ridiculous commitments against fees or even going beyond fees that they bear the cross beyond losing their fee against those guarantees. So they really do become guarantees. It shows. We don't think that's the right way to run the business, and we're basically giving a view on what's possible, not what's impossible. So I think the business is what it is, and I think it's going to continue like this for the foreseeable future until there's a major change that lifts us out of it, upwards in terms of growth rate, in terms of GDP growth rate or downwards. So -- but where it is at the moment is okay, it's manageable, but it's not easy. I mean, it's tough. It's tough on our people and it's tough on the organization, but it is what it is. 
Tim Nollen: Yes. I understand. I see the macro is a swing -- big swing factor. Focusing on the micro, my last question was about some of your content investments. I know what you're doing with comScore and Rentrak and the measurement to investments there. But in a similar vein, you talk about Media Rights Capital and Vice Media. What are you doing with these content investments? I mean, it's not just making more ads. I mean, your agencies do that. What are you doing with these companies? 
Martin Sorrell: Well, I mean, if you look at what we're doing in terms of pitching activity, day-to-day involvement with new clients, we're exposing, I mean, 2 communities, our clients and our people, to the latest developments that we think are important in content. So if you went through the list for a minute. If you take Vice, millennial content, not just male, but the extension to broadly. I mean, I should mention Refinery29, which is female millennial content, the same thing. Imagina, based in Spain, probably most famous for controlling La Liga, the football rights for La Liga, so Barcelona, Real Madrid, et cetera, but also one of the -- well, probably the leading Hispanic program producer based in Spain and Madrid and Barcelona. Fullscreen, more than 100 YouTube channels, biggest investor in that piece of churn in is the guy who put that together. And AT&T, a very big investor in that. China Media Capital, the leading content developer in China, I mean, historically, I think I'm right in saying the first investment that they made was in buying a controlling interest in Rupert Murdoch's media interest in China within about 3 to 6 months that turned that around very successfully. Media Rights Capital, developing House of Cards with Netflix. And obviously, content spanning a number of other, Bruno, Borat, Ted, Ted 2. Indigenous Media, developing online content with clients. And then Truffle Pig, Snapchat, the male group [ph] and ourselves looking at how we could develop social content with our clients. So it's client involvement, it's our people's involvement, getting them and indeed ourselves to understand what's going on in the content space. So I mean, does that explain sufficiently? 
Tim Nollen: Sure. 
Operator: As there are no further question at this time, I would like to hand the conference back to the speakers for any additional or closing remarks. 
Martin Sorrell: All right. Thank you very much, operator. Thanks, everybody, for joining us. Any further questions, Fran Butera in New York, Chris Sweetland here in London with me and Paul, but happy to by e-mail have any further questions. Thank you. Look forward to talking to you early next year. Thank you.